Operator: Good day, and welcome to the Fourth Quarter 2022 FTAI Infrastructure Earnings Conference call. At this time, all participants are in listen-only mode. After the speaker's presentation, there'll be a question-and-answer session. Instructions will be given at that time. As a reminder, this call is being recorded.  I would now like to turn the call over to Alan Andreini, Head of Investor Relations. You may begin. 
Alan Andreini: Thank you, Michelle. I would like to welcome you to the FTAI Infrastructure fourth quarter and year end 2022 earnings call. Joining me here today are Ken Nicholson, the CEO of FTAI Infrastructure, and Scott Christopher, the company CFO. We have posted an investor presentation and press release on our website, which we encourage you to download if you have not already done so. Also, please note that this call is open to the public in listen only mode and is being webcast.  In addition, we will be discussing some non-GAAP financial measures during the call today, including adjusted EBITDA. The reconciliations of those measures to the most directly comparable GAAP measures can be found in the earnings supplement.  Before I turn the call over to Ken, I would like to point out that certain statements made today will be forward-looking statements including regarding future earnings. These statements by their nature are uncertain and may differ materially from actual results. We encourage you to review the disclaimers in our press release and investor presentation regarding non-GAAP financial measures and forward-looking statements, and to review the risk factors contained in our quarterly report filed with the SEC.  Now, I would like to turn a call over to Ken. 
Ken Nicholson: Thank you, Alan, and good morning, everyone. Today we will be discussing the fourth quarter and full year financials for FTAI Infrastructure and also providing details of the latest developments at each of our four business segments and our expectations for the year ahead.  Briefly, before we get to the financials, I'm pleased to report that we will be paying our second dividend as a standalone company with our Board authorizing a $0.03 per share quarterly dividend to be paid to shareholders later this month. For this call, I'll be referring to the fourth quarter supplemental materials that were recently posted to our website.  Starting with Slide 2, 2022 was an extremely productive year for us. We completed the spinoff of our company from FTAI Aviation in August, establishing [Technical Difficulty] FTAI Infrastructure as a pure play growth focused infrastructure business. Financially adjusted EBITDA for the year came in at 88.1 million from our four segments up from 58.5 million in 2021. More importantly, during the year, we completed a number of material projects and business developments that should position us for substantial growth in 2023 and the years ahead. All in we firmly believe that the stage is set for a strong 2023 and continue to target achieving this year a run rate of 200 million of annual adjusted EBITDA from our segments with no additional capital required to meet that target.  Focusing on the fourth quarter adjusted EBITDA from our four segments for the fourth quarter was 9.5 million. As previously disclosed, our reported financials for the quarter were impacted by an extended maintenance and repair outage at our Long Ridge Power Plant. I'll provide some details on what happened at Longridge, but suffice it to say we believe the damage was an isolated event. All repairs had been made by the end of the quarter, and as of January 1st of this year, the plant was at full operating status and has been continuously operating near a hundred percent of capacity this quarter to date.  In terms of what happened in early October of last year, our team at Longridge discovered damage to our gas turbine as part of a planned maintenance outage and inspection process. The damage was caused by construction debris that had been left in the turbine's air intake prior to commissioning of the plant. The repair process resulted in the power plants being out of service substantially all of the fourth quarter.  All repair costs are covered under warranty, but lost revenue during the quarter resulted in an operating loss to be recorded for the quarter at Long Ridge. This Long Ridge loss accounted for the bulk of variance in our adjusted EBITDA compared to Q3 of last year. Away from the event at Long Ridge, we're happy with our accomplishments for the quarter. Each of Jefferson, Repauno and Transtar progressed the respective business plans, and we believe we are very well positioned for a solid 2023 ahead.  Slide 4. Briefly on the balance sheet, we have ample liquidity today, and during the quarter, we put in place a new $50 million revolving credit facility at Transtar, borrowings under the Transtar facility may be used to fund growth projects that Transtar and also provide working capital to the holding company if desired. In the aggregate, we had 1.2 billion of debt shown on the balance sheet at December 31st, 473 million of which is issued at our holding company and approximately 700 million is issued at Jefferson on a non-recourse basis.  As we have said in the past, we view the Jefferson debt more as an asset than a liability with extremely low interest cost, average maturity of 14 years, the flexibility to pay dividends from Jefferson with excess cash flow, and not callable in the event of a sale. That will become increasingly relevant as we anticipate Jefferson generating meaningful cash flow in 2023 and the years ahead. Now that the new Exxon contract has commenced and we continue to see momentum down in Beaumont.  On Slide 5 of the earning supplement. For each of our segments, we provide our reported 2022 adjusted EBITDA, as well as our annual targets. In the aggregate, we continue to target annual adjusted EBITDA in excess of 200 million. The target shown for each segment on the Slide represent our expectation for annual run rate EBITDA to be achieved this year for that respective business.  Like all infrastructure projects, the timing of achieving the specific targets will likely vary for each business, given the specific ramp-up of developments in the case of Jefferson, for example, or commencement date of contracts in the case of Repauno. Importantly, achieving these targets requires no additional capital. I'll report more details on the following Slides, so just to give you some quick highlights for now, Transtar is a great producer of cashflow for us and we expect a number of new initiatives and third-party revenue to kick in, starting in 2023, Jefferson continued to increase utilization of its now 6.2-million-barrel capacity terminal.  We recently closed on the acquisition of an additional several hundred-acre site in Beaumont that we expect a result in highly creative new developments in the years to come. The impact of this new site, Jefferson South, are not included in our $80 million EBITDA target for Jefferson. So any income generated would be incremental to our targets. Repauno, which will remain in the near term, a smaller part of our portfolio in terms of EBITDA contribution, has tremendous upside and is on the cusp of entering into long-term contracts for its Phase 2 transloading system.  Finally, with the repair behind us, our planted Long Ridge is achieving near a 100% capacity factor in generating cash flow from excess gas sales. I'll now turn to more details on each of our four core businesses. Starting with Transtar on Slide 6 of the supplement. Transtar posted revenue of 150 million and adjusted EBITDA 64.3 million in fiscal 2022, our first full year since acquiring the business in August of 2021. Cashflow for the year was 66.7 million in excess of adjusted EBITDAs proceeds from non-core asset sales more than offset capital expenditures.  For the fourth quarter, slightly lower carload volumes, were the result of the temporary idling by U.S. Steel of one of two blast furnaces at the Mon Valley Works facility. The Blast Furnace came back online in January. EBITDA for the quarter was also included approximately 1.5 million of non-cash losses in connection with the sale of excess equipment. Excluding the impact of the idled blast furnace and the loss on asset sales Transtar, results would've been in line with those reported for the third quarter of 2021.  We're making very good progress on multiple initiatives to Transtar driving incremental revenue in EBITDA. These programs, which are detailed on Slide 7 of the supplement, represented approximately 30 million of incremental EBITDA opportunities annually with little to no additional investments. Our rail car locomotive, our rail car and locomotive maintenance facilities are now open and serving customers. The number of third-party freight customers today stands at 30 and growing.  Last year, we opened our first transload facility on our Michigan Railroad and our real estate development pipeline is as strong as ever as we actively promote leasing and sale of over 700 acres of land that we own adjacent to our rail system. We expect 2023 to be a big year for progressing each of these initiatives and look forward to reporting our progress in the quarters to come. Now onto Jefferson, Jefferson generated 60.3 million of revenue and 18.5 million of EBITDA in fiscal 2022 compared to 46.4 million of revenue and 10.6 million of EBITDA in fiscal 2021.  Two material events transpired in the fourth quarter. First at the end of the quarter, we completed construction and commenced terminal operations under our new 10 year contract with Exxon. Exxon's, $2 billion Blade expansion will increase Exxon's refinery capacity in Beaumont by approximately 250,000 barrels per day. We expect our contract to generate approximately 20 million of incremental EBITDA annually as we ramp up throughput volume in line with the Blade expansion ramp up.  Secondly, during the quarter, we acquired an additional property in Beaumont to provide additional real estate for expansion and growth. We're seeing multiple opportunities for the storage, translating export of renewable fuels and hydrogen based products, and with Jefferson nearing full buildout this site is an ideal extension for our business. We expect this new addition, which we refer to as Jefferson South, to contribute incremental EBITDA as early as this year, and to ultimately represent up to 50 million of opportunity incrementally.  Back at the main terminal to reach our targets we're focused on capacity utilization as we continue to ramp up capacity and meaningful portion of incremental revenue drops to the bottom line as we leverage fixed costs to Jefferson.  As shown on Slide 9, we estimate that after including the minimum commitments only from the new Exxon contract, we will have capacity in place to more than double our volume and revenue. We expect a portion of this remaining capacity to be taken up from Exxon business in excess of the contracted minimums as the late expansion ramps up over the next several months and the rest represented by multiple customers and products, we are in active discussions with. By the way, we expect the, we and Exxon both expect the ramp up of Blade to occur approximately in early April.  Shifting to Slide 10, at Rapano, we executed a multi-year contract in Q4 to transload natural gas liquids using our phase one system. The contract, which is with one of the world's leading trading companies, commences on April 1 of this year and has a multi-year term with minimum volume commitments. With this contract in hand, Rapano is positioned to generate stable cash flows while we focus on securing business for our larger phase two transloading system.  As detailed on Slide 11 of the supplement, our phase two system is expected to materially increase our storage and throughput capacity when it comes online in a couple of years. In the aggregate, we expect phase two to represent in excess of 40 million of annual EBITDA once complete, we have demand for multiple international off takers and our goal is to enter to long-term agreements with multiple parties in the coming months.  Finally, moving on to Longridge. Longridge generated 18 million in EBITDA in fiscal 2022, inclusive of losses incurred in connection with the fourth quarter outage. During the outage, we did continue the pace of gas production, which partially mitigated the impact of lost power sales.  As we look to 2023 in the years ahead, we're enthusiastic about the future of Longridge. Our newly acquired 12,000 acres of additional gas assets in West Virginia essentially doubles our total gas supply. This new gas supply can ultimately provide up to 150,000 MMBtu per day with first production commencing this year. Even at currently lower gas prices, that equates to approximately 5 million of incremental monthly EBITDA for Long Ridge.  We expect to finance the capital expenditures required to develop gas production with additional debt at Long Ridge, and currently are in discussions with multiple lenders. We expect new light technologies to commence construction in the coming months on its new facility built on Long Ridge property, which will produce carbon negative and biodegradable plastic products from natural gas. Long Ridge will sell power and natural gas to new light, as well as provide land under a long-term lease.  In addition, we expect to be an investor in the project if certain conditions are met. And finally, we continue to progress efforts to be named one of four national hydrogen hubs under the Department of Energy's program to stimulate clean hydrogen production and use in key markets. Of the 79 parties submitting applications initially, Long Ridge has been shortlisted as an encouraged applicant to advance to the next round with updated applications due in April.  While it's longer-term process, we believe the ultimate outcome of being selected as a hydrogen hub could be tremendous up to $8 billion of grant funds will be made available to recipients potentially bringing significant new developments at Long Ridge. Our plant is the first in America to blend hydrogen as fuel, and we believe we are well positioned to receive hydrogen hub designation and benefit from access to federal grant funding to develop additional behind the meter customers.  With that, let me turn the call back over Alan. 
Alan Andreini : Thank you, Ken. Michelle, you may now open the call to Q&A. 
Operator: [Operator Instructions] Our first question comes from Giuliano Bologna with Compass Point. 
Giuliano Bologna : Well, I'm asking -- if I asked that one basis just to make it a little easier. Starting off with Transtar. I'm curious, which blast furnaces were down during the quarter? And then when they were -- when they started to come back online? 
Ken Nicholson : Yes. At the Mon Valley, it was a blast furnace at the Mon Valley Complex. They have two blast furnaces in Mon Valley and more up at Gary, but two blast furnaces. One was down, so you get a sense for the impact it had with scale production at the Mon Valley Complex. One was down toward the duration of the fourth quarter. It came back online in January. I can't provide a specific date, but it came back online in January, and it's been running at comparable pace from where it was prior to the fourth quarter.  So, it was one of the two blast furnaces in the Pittsburgh area. I mean, it's a -- it's sufficed to say, today, 80%, 85% of our revenue is attributable to U.S. Steel. And so as you watch U.S. Steel, production figures, you can expect Transtar to largely track U.S. steel's results in that regard. We are part of why we're advancing these other initiatives to bring in third party customers to diversify away from Transtar. And I think, we're going to make a lot of progress in the quarters ahead in that effort. 
Giuliano Bologna : That's great. And actually kind of going on down that train of thought with some of the new initiatives, you obviously mapped out about 30 million of potential economic contribution from a series of new initiatives that are mostly third party related. I'm curious where you are in the in the various stages of ramping up or launching those initiatives, and then how fast the trajectory of ramping up to about 30 million EBITDA could happen over the next few quarters? 
Ken Nicholson : Yes. It's I would say it's sort of a balance. I can't say in any one initiative where ahead of another initiative probably proceeding a little bit more quickly with third party customers. We'll be opening more transloading facilities in the quarters to come. Typically, the real estate development component is a little bit more lumpy and can take a little bit more time. It can be a little bit more episodic because those are more significant transactions where we land a in a new customer to build a facility and stimulate rail volume.  So that's the one that I would say is probably slightly behind the other of our total four key initiatives. I would say real estate development is the one that would probably lag a little bit, but others are coming along as we speak. So in terms of the 30 million, look, we'll be there by the end of the year for sure. I think on some of these initiatives, we should be there possibly in the second quarter, otherwise in third quarter. 
Giuliano Bologna : That's great. And, maybe shifting over to, to Longridge. I'd be curious if you could talk a little more about what happened with the turbine during the quarter? 
Ken Nicholson : Yes, No, I'm glad you asked. It's a large complicated power plant, and when construction was completed there was material left behind. And when the power plant was turned on, that material was essentially sucked into the turbine and and resulted in damage to the gas turbine. At the end of the day without speaking out of school, that's obviously not supposed to happen. And I'm not permitted to talk broadly about where we may go with this. But suffice to say our position is we certainly have recourse and we're keeping our options open as to it relates to the counterparties who worked with us on constructing the facility at Longridge.  Look, I think the biggest, the most important thing is it's fixed. You know, it's in the rear-view mirror. Longridge is doing great in January, February, and we expect to continue to do incredibly well. We got a ton going on at Longridge, and I think the next several years for Longridge are going to be super it's, this is we really do believe an isolated event strictly related to the original construction of the plant. So fingers crossed it's all behind us. 
Giuliano Bologna : And I'm curious on the long run side kind of like, what does it mean to be designated as a hydrogen hub and then just trying to get a sense of like, what that could mean for contribution or an impact individual? 
Ken Nicholson : I mean it's not in our plan of course. I think it would all be incremental to our expectations, but materially incremental. There will be four applicants ultimately awarded you know, just under 80 originally applied. They're down to a short list of, I think just more than 30 after April's applications go in, they're going to cut that short list down to less than 10 and sometime later this year four, maybe a couple more will be designated as hydrogen hubs.  Look, we've got great partners. We're not applying on our own. We've got a couple of partners, very big names who are applying with us. It's up to $8 billion of total grant funds that will be awarded. Obviously, that's extremely significant. We have a significant amount of ample land for carbon capture projects that could benefit from that grant funding. So, it's this year's business in terms of the designation, in terms of what it means and when, it's probably a couple of years to build out facilities with those grant proceeds, but we're excited about it. I think, we're really well positioned. 
Giuliano Bologna : That's great. And then, over to Jefferson, I'd be curious about the ramp up of the blade refinery extension, and kind of how fast they can get to full contribution? And then, maybe sort of beyond that kind of what other initiatives underway and kind of how did the margins work with any incremental volumes to get closer to the 80 million number? 
Scott Christopher: Yes. Well, I mean, the contract commenced January 1. The blade expansion, the sequencing with precision of the commencement of the contract, and the 100% completion of the grand of the blade expansion was not a perfect science. The blade expansion is coming online during this quarter, and it will be online in full, fully ramped up. We expect, as I said, on April 1st. It's a $2 billion project for Exxon. And so, I suspect that for this quarter volumes, and payments will be closer to the minimums, the committed minimums in the Exxon contract. And then as we transition into the second quarter in excess of the contract and in line with our expectations looks it's a 30, 40, 50 year life project. And so it's a big deal. It's huge for us. It's huge for Exxon. We're excited about it, but like all infrastructure projects it's the timing of complete ramp up is not a perfect science. I think, it'll continue to ramp up this quarter, and then we'll be ramped up as we swing into 2Q. 
Giuliano Bologna : All right. And then on the Repauno side, I'm just curious if you kind of discuss the new contract that you signed there. 
Ken Nicholson : It is hopefully the first of additional business with this party, and other party. If the contract is a multi-year contract, as I said, with a major trading firm for the transloading of butane, and ultimate export of the project, of the product, it does not use the entire capacity of Phase 1. So there is additional capacity. And the team down in Southern New Jersey is working hard to continue to increase capacity utilization of Phase 1. I would say it uses maybe 50% to 65% of our capacity. What we like about the contract is it's just stable cash flow, we'll generate profits it basically will hit our $10 million target just with what we have in hand. And it allows us now to really, proceed and focus all of our attention on Phase 2, and Phase 2 is really what it's all about.  Phase 2 is effectively ready to go. I mean, it is permitted, design, engineering, construction, contracting is ready to go. We could hit the button tomorrow, quote unquote. We are in negotiations with half a dozen counterparties for long term commitments to Phase 2. Having those commitments in hand is something we of course want to have before we commit the capital. I really don't think we'll need to commit much capital. I think most of it will be funded with tax exempt debt borrowings and we have everything set up to be able to hit the market on that.  Obviously, the financing will only look more attractive with long-term commitments in hand. But look I think the contract for phase one that we executed during the fourth quarter is great to have. It's something that will result in more consistency and stability in revenue and cash flow at Rapano, during the remainder of 2023. It doesn't kick in until April 1st, so we won't see much of that in the first quarter, but starting in the second quarter we'll see the benefits of that contract. 
Giuliano Bologna : That sounds good. And just going back to the point you just made about on the permitting side, just curious, is that the permitting for the underground cavern? It sounds like you were saying you guys are pretty much there and can start, you're going to your shovel already this point to get moving. 
Ken Nicholson : Yes. No, what is permitted is new dock above ground storage tank and additional rail construction. What is incremental to phase two is the below ground caverns, which is, which is massive, that is not yet permitted. The permitting's underway. It'll should be completed in, I don't know, a few months. But it's a process. I think in the deck we talk about phase two on our expectations for approximately $40 million of incremental EBITDA contribution. That EBITDA contribution is, does not include the impact of any caverns. The caverns are important and it's a big, big area of focus for our team, but any revenue in EBITDA from the caverns would be incremental to the 40 million. The 40 million is just for the above ground storage facilities dock and what have you. So everything's permitted except for the caverns we're in the application process with the state's, EEP and I think that's got a few more months to go. 
Giuliano Bologna : That's great. I think, I touched on pretty much everything across the assets there, so I really appreciate the time there and I'm going to cut back in the queue. 
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back over to Alan for closing remarks. 
Alan Andreini: Thank you all for participating in today's call. We look forward to updating you again after Q1. 
Operator: Ladies and gentlemen, this does conclude the program and you may now disconnect. Everyone, have a great day.